Operator: Good evening. My name is Eva and I will be your conference operator today. At this time, I would like to welcome everyone to the Columbia Sportswear First Quarter 2008 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions]. Thank you. Mr. Parham, you may begin your conference.
Ron Parham - Director of Investor Relations: Thank you, Eva. Good afternoon everyone, and thanks for joining us on today's call. With me today are Columbia Sportswear's Chairman, Gert Boyle; President and CEO, Tim Boyle; CFO, Bryan Timm and General Counsel, Peter Bragdon. We'll start today's call with prepared remarks reviewing the results of the 2008, first quarter and provide more color around our full year and second quarter 2008, revenue and earnings guidance that was included in today's earnings announcement. Following that we'll field your questions. Before we begin, Gert has an important reminder for our listeners.
Gertrude Boyle - Chairman: Good afternoon. I'd like to remind every one that this conference call will contain forward-looking statements regarding Columbia's business opportunities and anticipated results of operations. Please bear in mind that forward-looking information is subject to many risks and uncertainties and actual results may differ materially from what's projected. Many of these risks and uncertainties are described in Columbia's quarterly report on Form 10-K for the year ending December 31, 2007 and subsequent filings with the SEC. Forward-looking statements in these conference calls are based on our current expectations and beliefs and we do not undertake any duty to update any of the forward-looking statements after the date of this conference call, to conform the forward-looking statements to actual results or to changes in our expectations.
Ron Parham - Director of Investor Relations: Thank you, Gert and just before I turn the call over to Tim, I would just like to point out that in the financial schedules that we included with the press release this quarter, we also for the first time included a statement of cash flows in response to some of your requests and in keeping with our efforts to provide more information to you on a timely basis. So, just wanted to point that out. With that, I'll hand it over to Tim.
Timothy P. Boyle - President and Chief Executive Officer: Thanks Ron. Welcome everyone, and thank you for joining us this afternoon. By now I am sure you have had a chance to review the earnings release and financial statements that we issued earlier this afternoon. I am going to focus most of my comments on our strategic initiatives and let Bryan review the financial highlights of the first quarter and our guidance for the second quarter and remainder of '08. I will start by touching on some of the top line highlights from the first quarter. Consolidated net sales increased 3% with sales in our Canadian and LAAP regions up 4% and 20% respectively, aided by currency exchange rates that added 15% and 4%, respectively to those comparisons. EMEA net sales declined 3% in the first quarter, including a 10 percentage point benefit from exchange rates. EMEA direct net sales were down 1% and EMEA sales to distributors were down 11%, reflecting their earlier shipment of spring '08 products in the fourth quarter of '07, versus this spring's '07 shipments that occurred in last years first quarter. U.S net sales were essentially equal to last year's first quarter at $156 million. Looking at consolidated first quarter net sales by category; sportswear, typically the largest category in this quarter by a wide margin was down 1% while our smaller Outerwear category grew 16%, compared with last year's first quarter. Footwear net sales declined 3%, reflecting early shipment of spring 2008 products to our EMEA and LAAP distributors in the fourth quarter of 2007. We also announced today that as of March 31, 2008, combined 2008 order backlog for the spring and fall seasons totaled $849.8 million, a decrease of approximately 4% compared with combined 2007 spring and fall order backlog of $8.888 million... $888.7 million at March 31, 2007. Changes in currency exchange rates contributed approximately 4 percentage points of benefit to the combined order backlog comparison. Analyzing the fall 2008 backlog by region, U.S fall 2008 backlog is down high single digits, which we believe primarily reflects retailers conservative buying posture in the face of uncertainty about consumer discretionary spending in the second half of '08. Fall 2008 backlog in our EMEA region is down mid-single digits, including a high single-digit benefit from exchange rates. We believe the decline in our order [ph] backlog continues to highlight in this alignment of our regional product line in relation to consumers and retailers perception of the Columbia brand. As stated previously, our new European management team is working closely with our U.S product, sales and marketing teams on multiple levels to realign the product assortment for these markets, beginning with the spring 2009 season. We expect this alignment to improve further as we move further through fall 2009 and beyond. But fall 2008 backlog was essentially flat in Canada on a constant dollar basis and on a positive note was up double digits in our LAAP region, including high single digit benefits from exchange rates. While there are a few bright spots, these backlog numbers taken as a whole are obviously not where we would have like it to be. More than anything else, they tell us that the investments we have chosen to make in retail expansion and additional marketing are necessary and timely to create demand for our brands and to build strong emotional connections to consumers. While other companies may be delaying or canceling their expansion plans, our strong balance sheet gives us the confidence and flexibility to act now to position ourselves for long term growth. From our perspective, the most significant events that occurred in the first quarter was our USA launch of Omni-Shade Apparel and Techlite footwear. This launch is significant because it represents the first major initiatives that we have brought to market under our enhanced go-to-market strategy and it set the stage for other global initiatives that we have planned for future seasons. In the southern region of the U.S, where we executed an earlier Omni-Shade marketing launch in February and where the weather has been closer to normal, Omi-Shade has performed very well. Several of our major accounts with a strong presence in the region have reported Omni-Shade to be among their best selling concepts and log in [ph] improved sell-through, compared to our spring 2007 assortment. We have also been able to measure the impact of Omni-Shade in the virtual world, where in the past month, one-third of searches performed on our corporate website have been for Omni-Shade. Further reports on Techlite footwear from the sunny Southern U.S are equally encouraging with several of our new trial shoes and sandals generating strong initial sell-through. Although, there is just a few of the early data points, they reinforce our beliefs around the power of a cohesive integrated go-to-market approach in which most of our marketing resources and those of our customers are aligned behind concepts that resonate with consumers, create demand and build upon new brand. We believe that whenever we bring compelling product to market, fairly communicate our seasonal concepts through effective advertising and engage consumers in those same brand and at concept messages at the point of sale we win. That's the essence of the strategic initiatives we first laid out last October and that we are committed to evolving over the next several years. I have more to share about those strategic initiatives after Bryan's review of the first quarter and our guidance for the remainder of '08. Before I turn the call over to Bryan, however, I want to update you on some management changes in direct response to the recent resignation of Pat Anderson, our Former Chief Operating Officer. Bryan Timm, who has served as the company's Chief Financial Officer since 2002, who will assume the role of COO and will continue to act as the company's CFO on an interim basis, while internal financial leaders take on additional responsibilities. Bryan has proven his leadership capabilities over his 11 year carrier at Columbia and brings the kind of leadership required to ensure the company's supply chain and internal processes continue to evolve in-step with the rapidly changing retail environment. Tom Cusick, currently our Vice President of Finance will become the company's Chief Accounting Officer.
Bryan L. Timm - Chief Financial Officer: Thanks Tim. Good afternoon everyone. Tim covered the highlights on our top line, so I'll start with gross margins and quickly walk down the rest of the income statement. First quarter 2008 gross margins increased 20 basis points to 43.9% over last year's first quarter, primarily due to the favorable foreign currency hedge rates. SG&A expenses increased $13.5 million over the last year's first quarter to $103.9 million, or 34.9% of sales. This equates to a 370 basis point increase, compared to last year's first quarter. This SG&A expansion is a direct result of our increased marketing investments to support our Omni-Shade and Techlite launch, start-up and operational cost of our new retail stores and higher depreciation cost related to our Portland distribution centre retrofit that came on line in April of 2007. Operating income declined 26% to $27.5 million in the first quarter and resulted in operating margin of 9.2%, versus 12.9% of net sales in last year's first quarter. The tax rate for the first quarter was 33%, compared to 34% in last year's first quarter. Net income totaled $19.9 million or $0.56 per diluted share, compared to $26.1 million or $0.71 per diluted share in the first quarter, 2007. The balance sheet remains very strong with cash and short-term investments totaling $278.1 million, versus $268.6 million at the same time last year. Consolidated accounts receivable was $246.2 million up 5% from March 31, 2007, primarily due to increased sales in the quarter and the year-over-year effective exchange rates. Consolidated inventories declined 10% sequentially to $238.1 million, compared with $265.9 million at December 31st 2007, reflecting the shipment of spring 2008 products that we've taken early delivery of during the fourth quarter in order to ensure a timely launch of our spring '08 Omni-Shade and Techlite initiatives. Compared to last year levels, inventories were up 14%, reflecting our expanding retail operations and auto replenishment program. We expect inventories to be lower on a year-over-year basis beginning with the second quarter of 2008. Capital expenditures were $14.2 million during the first of 2008, compared to $6 million in last year's first quarter, primarily reflecting our U.S retail expansion. Depreciation and amortization expense for the quarter was $7.9 million, versus $6.3 million in last years first quarter with the increase representing the additional depreciation from our previously discussed Portland distribution center project. During the first quarter, we have repurchased approximately 968,000 shares at an aggregate price of $40.3 million. Since the beginning of the program in 2004, through March 31st 2008, we repurchased a total of 7.6 million shares or $356.3 million leaving approximately $43.7 million under the current authorization. Also, today we announced that Columbia's Board of Directors approved a second quarter dividend of $0.16 per share. Now let's turn our attention to financial guidance. Please keep in mind that this information is forward-looking in nature and is, therefore, subject to certain risk factors. Based on Tim's earlier discussion of our combined order backlog, combined with our planned retail expansion and the estimated effect of foreign currency exchange rate differences, we currently expect full year 2008 revenue growth up approximately 2%. We expect full year 2008 consolidated gross margins to expand by approximately 50 basis points from 2007 levels, primarily due to favorable foreign currency hedge rates, the increased contribution from our retail operations and some increased average selling prices internationally. Our plan is to invest in incremental marketing activities during 2008 in support of our key seasonal brand and product initiatives, together with the initial investments in incremental operating costs of our new retail stores, are expected to increase full year 2008 operating expenses as a percentage of consolidated net sales by approximately 350 basis points, compared to 2007 levels. Based on the above projections, we expect to generate operating margins of approximately 11.7% and diluted earnings per share of approximately $3.15 to $3.20 for the full year 2008. We are currently planning on approximately $45 million in capital spending during 2008, with approximately $30 million of that related to our retail expansion and $15 million related to maintenance CapEx and to a lesser extent distribution capacity projects. Looking specifically at Q2, we expect net sales to increase approximately 6%. The incremental marketing spend and our retail expansion plans will pressure our profitability more dramatically in the second quarter, because it is our lowest seasonal quarter of the year. As a result, we expect earnings per diluted share to fall to approximately $0.03, compared to $0.27 in the second quarter of 2007. Combined, our marketing and retail investments will add approximately 500 basis points to the second quarter SG&A, compared to last years second quarter. This includes costs associated with opening several new retail doors in the quarter that will be dilutive [ph] if they ramp up. What it really comes down to, is investing in our brands for the long term. While these strategic initiatives will pressure profitability in the near term, we firmly believe that the right thing to do for our brands and we'll be positive in the year to come. That concludes my remarks. I'll now hand the call back to Tim for his closing comments.
Timothy P. Boyle - President and Chief Executive Officer: Thanks Bryan. Before we turn the call over to your questions, I'd like to take a couple of minutes to summarize. One of the cornerstones of the Columbia's 70 year heritage is our proven ability to create compelling products that address the evolving needs of each our generation's outdoor enthusiasts. The seasonal technology initiatives we introduced in 2008, Omni-Shade, Techlite and Omni-Tech highlight the performance features of our products and are helping to build greater understanding and excitement among retailers and consumers. We believe these initiatives are proving successful and allowing consumers to stay outdoors longer to enjoy the activities they love. For 2009, we are organizing our products around complete collections designed from the ground up to be integrated and complementary. For spring 2009, we have larger assortments and better head-to-toe integration. We are supporting that by elevating on marketing and expanding our Columbia owned retail presence on a global basis to increase the emotional equity in our already strong brands. We plan to open our first, excuse me ... we plan to open first line branded retail stores in key markets around the world over the next five years, primarily in the U.S, Europe and Canada. This part of our strategy has designed to help control and elevate our brand by showing broader assortments than even our largest retailers can show in environment that clearly communicates the essence of our brands in each of our seasonal initiatives. Experiencing the complete breadth of our brands and our point of sale inventory helps consumers understand everything that the Columbia family and friends has to offer. We believe that will increase demand for our products and ultimately benefit our retail partners in those markets where we build our branded stores. The Columbia brand is strong and our complimentary family of brands will play an important role in the next five years of our growth. The broad outdoor category in which we compete is also strong and offers a wide spectrum of consumer interests which connect consumers to our brands. Of course, over a year ago when we first began formulating the plans around our enhanced go-to-market strategy and our retail expansion, we could not have anticipated the sluggish U.S retail environment or the cooler weather that has prevailed over much of the country so far this spring. And while those headwinds are real, they ultimately beyond our control and cyclical and therefore, not effecting our firm commitment to move constantly forward with our strategic initiatives. Thank you very much for listening, we will be happy to field any questions. Question And Answer
Operator: [Operator Instructions].Your first question comes from the line Bob Drbul with Lehman Brothers.
Robert Drbul - Lehman Brothers: Hi, good afternoon.
Timothy P. Boyle - President and Chief Executive Officer: Hey, Bob.
Robert Drbul - Lehman Brothers: A couple of questions. First Bryan, congratulations and Tom I don't know if you are in there, but congratulations to you on the new roles. On the 350 basis points of operating margin hit on the marketing in the retail stores, can you give us a sense of how much of that is marketing and how much of that is the retail stores in terms of the breakdown.?
Bryan L. Timm - Chief Financial Officer: Sure Bob, I mean I guess if you, if you do the math, I guess our incremental SG&A from an absolute dollar somewhere in that close to a $50 million range for the year. So, I would say that the line should add or really split between the retail expansion which we would include of course the personnel as well as the ramp and then also the incremental marketing spend. Those are pretty much tied for the two largest reasons and then the only incremental piece would be a small amount of anniversary and personnel cost that we would have had from 2007 and 2008.
Robert Drbul - Lehman Brothers: Okay great, and on the inventory, can you elaborate exactly, how you're going to have lower year-over-year inventories at the end of second quarter, where's some of that going?
Bryan L. Timm - Chief Financial Officer: Right, well Bob a couple of things. Number one, I think as you recall from Q4, we did bring some receipts of for our product marketing launch in March, We did bring some products in early, which obviously some of those sold through in Q1, will continue on in Q2, replenish the piece of our inventory, certainly will start to go down in Q2 as we build some of that spring product for that time period and we'll continue to work through, we need excesses, be it not large of the fall 2007 products that we have and that would have been included in the guidance and why you are seeing a little bit of margin... gross margin contraction in Q2. Also, Europe's a contributor there as well, not just U.S, so I think overall, we feel pretty confident that while we know we're going to have retail inventories continuing through the year, that we feel like we'll have our year-over-year comp down in inventory in Q2.
Robert Drbul - Lehman Brothers: That's great. And Tim just one question for you, when you look at the footwear business and I guess the backlog trends, are you going down the right path now, and how encouraged are you by some of the stuff that you are seeing and hearing on the footwear opportunity?
Timothy P. Boyle - President and Chief Executive Officer: Well we are very encouraged by along the specifically the Techlite initiative, it's in a very significant part of our '08 launch and it will increase in volume, meaning it will increase in the quantity of merchandise in '09, it that has that kind of Techlite characteristics and performance. So very happy with it we... just the team seems to be enjoying more and more and we are very excited about the opportunity that presents us with footwear. We think we have a really an exceptional team and it just looks like we are well on our way to make sure that is a big part of our business in future.
Robert Drbul - Lehman Brothers: Great good luck. Thank you.
Timothy P. Boyle - President and Chief Executive Officer: Thanks Bob.
Operator: Your next question comes from the line of Jeff Edelman with EBS (sic) [UBS].
Jeffrey B. Edelman - UBS Securities: Thank you good afternoon and Bryan my congratulations, also. Question on your retail business. Could you sort of give us a sense how right now the profitability is running relative to the corporate total.
Timothy P. Boyle - President and Chief Executive Officer: Yes, Jeff well I will let Bryan talk a little bit about that. But I can tell you that from the initial reaction to the new stores that we are opening they are really opening all over the country and it's been very significant from consumers really seeing the full breadth of our product line and we are talking frankly just about outlets. So we don't have the most current merchandise in our outlet stores, but that's been a great reaction. In fact, two of our largest volume stores are in southern California and in Florida. So it's really... it's been gratifying to see the kind of reaction to the company's product line from those typically not thought of good Columbia geographies, but I'll let Bryan talk more about this specific profitability.
Bryan L. Timm - Chief Financial Officer: Yes, Jeff I guess... as you know Tim in the past, they don't think we are going to be equipped to lower the bar with that kind of targets we want for that part of the business. But I guess I would say overall, we are trying to... our attempts here are to be accretive and when I say accretive, accretive from the margin perspective. So we want to make sure that that business model is, certainly makes us more profitable. I would say if you break it up into two parts there is certainly the outlet piece which I think we... our expectation there is it's going to little bit more profitable than the first line branded stores. Again, those may take a little bit more... we showed improvement to get them to where we want, to really make sure that they are displaying our products appropriately in getting that are truly branded stores. So overall, they're going to be a little bit of a gross margin change between those two types of platforms, but I think overall we want to make sure that it's overall better than the corporate average.
Jeffrey B. Edelman - UBS Securities: Okay, just a follow up on that point. Your existing factory outlets today, how have their profits been running?
Bryan L. Timm - Chief Financial Officer: Well I think we had close to around 13 outlets stores as of the end of the end of the year. Most of those, I think eight or nine of those has been existing for the last 10. So again, platforms stated are very mature that had good operating profits. Again, it depends on the store, but I would say overall very good profitability from those outlets. But I will say also that we're not looking to just anniversarying the same kind of operating profits from those stores, but we have made significant improvements in those stores as we've really tried to refine what we were trying to accomplish in the retail sector and we've actually brought up our margins in a lot of those existing stores.
Jeffrey B. Edelman - UBS Securities: Okay thanks and then secondly, as we look at some of the shift in your distribution, where you do have lower orders. Is this concentrated in any particular types of channel or significant customers, or is it... should like a little across the board?
Bryan L. Timm - Chief Financial Officer: I would say that the bulk of our customers are taking a much more conservative approach to all of eight, frankly than they have in the past. Just looking at the macroeconomic conditions and being much more conservative.
Jeffrey B. Edelman - UBS Securities: So, U.S is off as much as Europe then?
Bryan L. Timm - Chief Financial Officer: Yes, Europe is a little further up than U.S, sorry.
Jeffrey B. Edelman - UBS Securities: Alright.
Bryan L. Timm - Chief Financial Officer: From a geographic standpoint, yes.
Jeffrey B. Edelman - UBS Securities: Okay, thank you
Operator: Your next question comes from the line of Kate McShane with Citigroup
Kate McShane - Citigroup: We heard from another company last week that retailers are doing less future orders and more at once orders, of course because of the environment. So what does your guidance today incorporate for that at once orders, versus last year and then I guess that leaves me to ask how much speculative inventory are you taking this year and can you remind us how you took last year?
Timothy P. Boyle - President and Chief Executive Officer: Certainly, well I think we've made a fairly significant effort to have our customers put some basic merchandise on order of punishment. It creates a better gross margin for our customers and for ourselves as well. So, from that standpoint, even though it's a small percentage of our total business that's been increasing. So, customers may want to talk about the automation and auto-replenishment, they may be talking about that which is kind of a growth area for us as well. The bulk of what we've talked about typically when we talk about our speculative inventory position has been on the seasonal merchandise and the outerwear component and for customers that deal with Columbia on outerwear, frankly being, they require to give us an advance order if they want to carry the brand and so, we have our orders, we have our book and we estimated what we want to take orders in speculative position and this year '08 will be the smallest speculative position that we have taken in several years, smaller than last year by a pretty considerable allowance. So that's going to be our position in terms of inventory speculation on seasonal merchandise from our standpoint.
Kate McShane - Citigroup: Okay great and then second question. Can you update us on the search of or for a new head of your European business and we keep hearing that Europe is trying to face pretty significant macro headwinds. What have you seen in this market and this is also reflected in your guidance?
Timothy P. Boyle - President and Chief Executive Officer: Well for Columbia, we appointed I want to say six months ago now, a new head of our European Retail Operations, his name is Christian Finell and he is a seasoned veteran of European business. He is a Finnish citizen, lives in France and runs our business in Switzerland and we are very pleased with his initial analysis of our business. We have some challenges there, specifically related to our brand, as well as some other macro conditions. We feel that we've got a team in place led by Christian and supplemented by several members of our U.S team and Canadian team, who are living in Switzerland and helping to get the business turned around. So we are excited about the team, it's going to take some time to get us where we want to be there.
Kate McShane - Citigroup: Okay. I am sorry. I just want to squeeze in one more question. I was also surprised to see the weakness in Montrail. What was that, what was the cause of that during the quarter?
Timothy P. Boyle - President and Chief Executive Officer: Actually the backlog was, it's... first of all it's a very small brand for the company and the backlog was down as a percentage big number, but it's a little bit misleading in that we today we have I want to say 40% more points of distribution for the company's products than we had a last year at this time. So, slightly less backlog, but frankly a better, stronger business and we are pleased with the change we made in the Montrail Group and in the footwear business in total for the U.S and globally. It looks like it's well under control with Mark Nenow and his team doing a great job. So, the Montrail numbers are, if you look at them just from a percentage basis there... they don't give the accurate reflection.
Kate McShane - Citigroup: Okay. Thank you.
Operator: Your next question comes from the line of Virginia Genereux. Virginia, your line is open.
Virginia Genereux - Merrill Lynch: Thank you. Bryan in terms of... can you review again exactly how many sort of retail stores you exited kind of maybe '06 and '07 with and what the plan and the breakdown is for '08 and maybe '09 too.
Timothy P. Boyle - President and Chief Executive Officer: I'm-- I am sorry exited?
Virginia Genereux - Merrill Lynch: Just a store, no I don't mean exited... how many... what was the door count at year end '06 and year end '07.
Timothy P. Boyle - President and Chief Executive Officer: Okay, I am going to let Bryan to start with separate front on them [ph] of Virginia. So, I'll let him start...
Virginia Genereux - Merrill Lynch: Thank you.
Bryan L. Timm - Chief Financial Officer: Sure, Virginia we ended last year with about 13 outlet stores. Again as I mentioned earlier, lot of those were existing stores prior to this recent launch. We've obviously had a first line brand store in the Portland, Oregon for quite sometime, I think our plans, again, initially when we outlined them was really for about somewhere in that 15 kind of range for outlet stores and I would say that that's pretty much where we are on page four for 2008. In terms of branded stores, I know we've talked about a few of those and I think we are thinking of those both in terms of the Columbia brand, as well as Mountain Hardwear. I think with Columbia brand, we would probably look in our forecast that potentially five of those in 2008 and maybe about three Mountain Hardwear stores as well. Of course those platforms are going to be substantially different in size with the Columbia brand being larger than the Mountain Hardwear platform. And then of course, outward to 2008 and beyond I would say that we are waiting to see and I know Tim wants to make sure that we've proven some things out there with respect to the profitability and what not. And, but, I would anticipate similar kinds of numbers into to the outward years as well, but we will change that as we see necessary during this year.
Virginia Genereux - Merrill Lynch: Okay. Okay so sort of 23 kind of total doors that you were talking Bryan. I was just thinking about the, you said $30 million in CapEx and sort of $25 million, half of your $50 million SG&A increase is going to stores and that just sounded like big numbers to me, relative to that kind of door count.
Bryan L. Timm - Chief Financial Officer: Right, well again most of the doors we talked about for this year are outlets. The CapEx associated with those are significantly less than potentially what some of the first line stores are. Again, right now we don't have a good forecast for all the leasehold improvements in some of the first-line branded stores. So again, that's our best estimate that we want to make sure that we are upfront about, back and of course change.
Virginia Genereux - Merrill Lynch: Okay, so maybe you are being conservative in terms of how much. It may cost less. So, is that what you're saying?
Bryan L. Timm - Chief Financial Officer: Again, we've really, since we only have one of those existing right now, I guess that I would rather wait until we have Q4 under our belt.
Virginia Genereux - Merrill Lynch: Okay. And the Cadence, the Cadence of those openings. Is it sort of... when are most of them opening or is it kind of ratable by quarter.
Bryan L. Timm - Chief Financial Officer: Well, I guess that depends on that. We are talking outlets of first line branded stores. I would say on the outlet side, I mentioned in our prepared remarks that we have quite a few of those ramping up in Q2 and so I would say and then continuing on through the rest of the year. So it's probably Q2 centric. On the branded stores, I would say definitely, there's more back half weighted [ph].
Virginia Genereux - Merrill Lynch: Okay thank you. And then on the advertising side, if you guys were... how should we... I think you spent... I think advertising was 4% of sales, kind of last year Tim and it's been sort of in the 50 to mid 50s neighborhood in dollar terms for a couple of years. I mean, based on your K disclosure, is that... and it sounds like that's picking up this year. Do you guys think... does that need to continue to ramp with the stores. I mean does that need to double sort of thing magnitude to get... I mean even then it would be less then what the athletic guys... some of those guys are spending in terms of sales.
Timothy P. Boyle - President and Chief Executive Officer: Right, no we don't need to double it in my opinion, we do need to increase it and we need to change the focus slightly, which we've done in really two ways, we've increased our own media spend, fairly considerably over prior periods and then we've aligned our co-op plans to be in complete alignment with the company's strategic go-to-market initiatives. So our customers are spending their co-op funds to further the greater good, if you will, of our strategic plans and strategic go-to-market initiatives. So, we get an additional multiplier by having a more focused co-op plan. So, I don't think we need to double. We will not double in 2008 and I don't believe that we need to double. But, we do need to make more significant investments than we've had in the past.
Virginia Genereux - Merrill Lynch: Okay, and then just lastly, Tim, if I may, following on Kate's question; I think, when do you think Europe bottoms for you guys or when and I am asking because the backlogs were down low doubles constant dollar, sort of this quarter, year ago they were down pretty significantly. When do you and I know you... there's been a lot of work there. But...
Timothy P. Boyle - President and Chief Executive Officer: There's been a lot of work you know [ph] a lot of work that needs to continue to happen and somewhere it's going to be a function adding a retail component which we will there when appropriate. But, I think we should start to see some changes. I'd say in spring '09 and the first changes we we'll see will be a more complete acceptance of our go-to-market strategies, they may not reflect in backlog volumes, initially. But overall, we should be starting to make great progress there in focus and alignment and that... I believe that through '09 we'll able see some bottoming and revenues.
Virginia Genereux - Merrill Lynch: Alright, thank you all.
Timothy P. Boyle - President and Chief Executive Officer: Thanks.
Operator: Your next question comes from the line of Jim Duffy with Thomas Weisel Partners.
Jim Duffy - Thomas Weisel Partners: Thanks. Hello everyone.
Timothy P. Boyle - President and Chief Executive Officer: Hey Jim.
Jim Duffy - Thomas Weisel Partners: What is your sourcing organization, telling you about input cost for future periods and with that in mind for the Columbia brand, what's the thought process with regards to price points in the product value accretion?
Timothy P. Boyle - President and Chief Executive Officer: Well, just as overwriting sort of preamble, because I will let Bryan speak more specifically to some of these questions. The outsourcing cost for 2008 is baked in terms of what we expect to see happen and beacon of the guidance that we've given today, and as certain overwriting focus for the Columbia brand, we're going to continue to enhance the products performance characteristics, so that we are continually moving and offering a better product than generic. So that's going to be a continued focus for innovation on the company, basically a continuation of prior periods. But in terms of sort of long term view of Asian sourcing operations, I think... let Bryan elaborate, but I think we are probably at the end of what has been a long period of deflation in the category and some headwinds in terms of pricing, Bryan?
Bryan L. Timm - Chief Financial Officer: Sure. No, I mean, exactly, Tim's pretty much covered it, but we've definitely seen as it relates to at least 2008, as Tim said. It's beacon to our guidance and certainly we saw, you know we saw some of those characteristics that I know a lot of competitors are going through as well with respect to the currency appreciation against the dollar with respect to the labor rates in some of the work force histories that you see happening in Asia are all affecting our input, or our FOB cost. Again, our biggest challenge is trying to... it's really trying to mitigate that. So I don't it's solely based on what our liaison offices can do and working with our factories, direct sourcing and some cases making sure that we can work directly when we partner up with our factory basis to make sure that we are listening to ways to make that process more efficient for them which in turn should help us mitigate some of our cost. It's also consolidating vendors in certain situation to make sure that we've got a vendor base that they truly understands what we are trying to accomplish working well with our liaison offices and then from there impacting cost, I think the input cost for us, only one element, it really needs to be a really precise focus on the entire supply chain. So not just in Asia, but all the things that we do from our products inception, all the way to through our distribution centers to our customers. So probably more to come on that front.
Jim Duffy - Thomas Weisel Partners: So it sounds like as you look out '09 you are expecting some price increases at retail, is that fair?
Bryan L. Timm - Chief Financial Officer: Again Jim, it's a little early. I think for spring '09, again we've seen some pressures. Again as Tim mentioned, there is certainly profits is on the merchandising and product are at offence [ph] to really mitigate some of those through innovation. So we are just now getting pre-cost information for the fall '09 season. So I think, again it's a little bit early to say what those are, and again it's a way too early to say how much of that can we mitigate.
Jim Duffy - Thomas Weisel Partners: Recognizing that it's early, philosophically how will Columbia choose if it's a decision between rate of margin and gross margin dollars? For instance, if you have to hold the key price points like the $99 price point which could impact the rate of margin, would you concede that rate margin to keep that business?
Bryan L. Timm - Chief Financial Officer: No we historically look at rate of margin.
Jim Duffy - Thomas Weisel Partners: Okay.
Bryan L. Timm - Chief Financial Officer: That's really where we have to measures our selves at.
Jim Duffy - Thomas Weisel Partners: Thank you. Very helpful.
Bryan L. Timm - Chief Financial Officer: yes, thanks Jim.
Operator: [Operator Instructions] Your next question comes from the line of John Shanley with SIG Capital.
John Shanley - SIG Capital: Thank you and good afternoon folks.
Timothy P. Boyle - President and Chief Executive Officer: Good afternoon.
John Shanley - SIG Capital: Tim I wonder if you could help us get a little bit more clarity on the apparel backlog in the U.S, can you break it down between outerwear and sportswear in terms of where the backlog build is?
Timothy P. Boyle - President and Chief Executive Officer: Bryan has that data in front of him John and where we'll give you some color on and we typically don't, don't go into great detail; but we can give you a little bit.
Bryan L. Timm - Chief Financial Officer: Yes, I mean John, there is not a lot to talk abut there, unfortunately with our backlog as it is in our guidance for the full year of around 2% on the top-line. I would say that there is not a lot of movement between product categories as we look through the balance of the year. So I think most of the products, as I look for the entire year, probably in that 1 to 2 percentage points. There's not a lot of variability between the product on an absolute dollar basis or percentage basis.
John Shanley - SIG Capital: Okay fair enough. Can you tell us whether or not Bryan there is retail channel that seem to be backing up a little bit more in terms of their hesitancy to bring in product at this juncture that's closing the weakness for the backlog or is it pretty much across the board?
Bryan L. Timm - Chief Financial Officer: Yes, John I think if I had to point to a specific kind of customer, it would be more national operations which are being more cautious as, because their footprint is over a broader geographic area and customers have a more narrow geographic area, seem to have less reticence.
John Shanley - SIG Capital: I see. Okay and turning to Europe, can you give us an indication of how the three major product categories performed in the first quarter between outerwear, sportswear and footwear were they are all pretty much the same or were one or two substantially different than the other?
Timothy P. Boyle - President and Chief Executive Officer: I am going to let Bryan speak to that.
Bryan L. Timm - Chief Financial Officer: Yes, John I would say again in my comments for the year would, for the most part hold through in the EMEA region as it relates to Q1 there may have been just trying to put my finger on product category information for that region, but we may have a little bit more weakness in the footwear area for Europe in Q1, but I would say that the apparel side of fence is... it was fairly consistent in that in that small range that I talked about in the year for the full year.
John Shanley - SIG Capital: Okay. Bryan you mentioned in your presentation that you expect inventory to be lower in the second quarter, than they were at the end of the first quarter. Is that going to be lowered by just basic sell-through being achieved, or are you going to be have to be more promotional in order to clear the inventory that's bringing in the balance of sales?
Bryan L. Timm - Chief Financial Officer: No, no really, my comments were really on Q2 over Q2 basis that we expect, as you recall I think Q2 of last year, we added our inventories to certainly bulks [ph] a little bit, and that carried through to Q3 and Q4 of last year. Q4, we definitely brought a lot of our products in early for our Omni-Shade and Techlight launches. I think that my comments about thinking that from a year-over-year basis, they'll be trending down, is really one of the large number of retail doors on the outlet side that we will be... that we're adding here in Q2. Some of that inventory of course adjust in them and hopefully selling through rapidly, as well as just some of the patent guidance that we have for Q2, we've ramped up our sales to about the 6% range, and again I think that was on kind of a flat backlog if I recall for the spring business. So that's one of the factor of some of that replenishment business from spring, and also some liquidation of some fall of '07, but again that's baked in the guidance, and that's probably why you're seeing a little bit close to 50 basis points over the contraction in the guidance for Q2.
John Shanley - SIG Capital: Okay, good enough. Last question I have is, can you tell us the approximate size of the outlet in first-line Columbia stores, how big are they?
Timothy P. Boyle - President and Chief Executive Officer: Sure, John, well, the historical Columbia outlet stores which the company's had open for many, many years have been smaller. I would say they average in the 4,000 to 5,000 square foot area and those would typically have been in a C mall, C outlet mall. Our focus for the balance of these stores will be in A Malls and we seem to have a terrific reaction in the stores that we have opened so far and those are going to average 9,000, 10,000 square feet. So, that will give you some idea of what we're doing for the Columbia outlet store expansion business. And then as it relates to the first-line stores, I would say it really is going to be a function of location where, we can find a location. We have plans to open stores that would be approaching for the Columbia side to 15,000 to 18,000 feet 4,000 to 5,000 square feet on the Mountain Hardwear store and I doubt that we would consider for Columbia anything smaller than let's say 7,000, 8,000, but it's too early. We depend on the location and the Mountain Hardwear template is going to be in 4,000 to 5,000 square foot range.
John Shanley - SIG Capital: And on the Columbia store is going to be mall based or they are going to be downtown metro locations?
Timothy P. Boyle - President and Chief Executive Officer: Well, they are going, they are primarily been the downtown locations, I will it's a great spot and a specific mall would have come up, we would certainly take advantage of that.
John Shanley - SIG Capital: Okay, good enough. Thank you very much. I appreciate it.
Timothy P. Boyle - President and Chief Executive Officer: Thanks John.
Operator: Your next question comes from the line Sam Poser with Sterne, Agee.
Sam Poser - Sterne, Agee & Leach: Good afternoon.
Timothy P. Boyle - President and Chief Executive Officer: Hi Sam.
Sam Poser - Sterne, Agee & Leach: Can you talk, I guess how are you drive... you might have spoken about this already. I joined the call about half way through, but to get to the... you are looking at 2% for the full year on a revenue increase and 6% for a second quarter. What's the driver in Q2?
Timothy P. Boyle - President and Chief Executive Officer: Well, I am going to have Bryan speak to it specifically, but you have to remember Q2 is our lowest volume quarter. So, any particular order moving one way or another can create an abbreviation that wouldn't be extrapolated across the year, but Bryan do you have some further comments on that?
Bryan L. Timm - Chief Financial Officer: Not really Tim, and again as you said it's our smallest quarter. So, it's just as we look at our order profiles and what we plan on shipping, both from initial order, some reorder activity, some auto-replenishment and as I mentioned earlier, a little bit of fall '07 access selling. Our best estimate this time is will be about 6 percentage points up on sales over 2007, Q2.
Sam Poser - Sterne, Agee & Leach: And then based on the following of the backlog for the back half, you are looking at basically almost flat?
Bryan L. Timm - Chief Financial Officer: That's correct.
Sam Poser - Sterne, Agee & Leach: Revenue towards the back half.
Bryan L. Timm - Chief Financial Officer: Yes, its not much difference in that, you are right Sam, for the back half from what we've done in Q1 and what we are guiding to in Q2 that would make the back half not much better than flat.
Sam Poser - Sterne, Agee & Leach: Yeah, I mean just here [ph] up from there. And then, just on the footwear business for a second there has been a lot of talk, I think John started to bring it up a little bit on the pricing out of China, especially in the footwear and your brand positioning of that product mostly in the Columbia brand. How is that effecting you for fall and looking ahead for relating to the price value relationship that you want to give to your clients, since, are you moving to inland China, Northern China, Vietnam and so on for sourcing to be able to maintain the prices?
Timothy P. Boyle - President and Chief Executive Officer: Yes, I am going to have Bryan speak specifically for the geographic locations, but basically we see some increases as have others. We are frankly so embryonic in this business that we can have a very significant impact on the specific items price and, frankly there are specific items margin for us by just being better at the design and delivery components where we are historically we have not, that's not been our strength. So as you know we've have changed almost the entire team over the last 24 months, since managing our footwear business and really bringing it in the line to become a world class organization. So that's maybe just a little overview of how I look at the business and again, I would say from our size there is a lot leverage that we have to pull, but maybe a larger organization wouldn't to increase profitability and offer greater value. Bryan you want to talk a little bit specifically where the sourcing, our focus is coming from?
Bryan L. Timm - Chief Financial Officer: Yes, I mean as it relates to the footwear, definitely we are souring in China, but it is also in Vietnam, so again those are certainly two countries that are going through some pretty good inflation labor rates and both markets are certainly increasing and you are seeing quite a bit of work forces instead of both, so again it probably comes back to you my comment earlier on the apparel side that we'll have continue to really isolate where we can make some improvements and that's not just on the inputs, but the FOB cost, but its all the way through the entire supply chain for that matter?
Sam Poser - Sterne, Agee & Leach: And thank you very much.
Timothy P. Boyle - President and Chief Executive Officer: Thanks Sam.
Operator: And gentlemen there are no further questions at this time. Do you have any closing remarks?
Timothy P. Boyle - President and Chief Executive Officer: No, we really appreciate where we are standing and we have a great competitive group of people here at the company. We don't like to being [ph] producing results which aren't exceptional and our expectation is that over time we will continue to prove that we have the capacity to be a very vibrant growing and highly profitable business, even beyond the run where we are today. So we thank you for listening in.
Operator: This concludes today's Columbia Sportswear first quarter 2008 earnings conference call. You may now disconnect.